Operator: Good day, ladies and gentlemen, and welcome to The Andersons, Inc 2013 Second Quarter Earnings Conference Call. My name is Erica and I will be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards end of this conference. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the call over to Nick Conrad, Vice President, Finance and Treasurer. Please proceed.
Nicholas C. Conrad: Good morning, everyone, and thank you for joining The Andersons, Inc.’s 2013 second quarter conference call. We have included a slide presentation that will enhance our talkie points this morning. If you are listening and watching this presentation via our website, the slides and audio are in synch. For those listening via telephone and watching the webcast, you should follow the directions sent to you in order to synch the slides and audio. This webcast is available through the Investors section of our website at www.andersonsinc.com. Webcast is being recorded and will be available on our website. Certain informations discussed today constitutes forward-looking statements. Actual results could differ materially from those presented in the forward-looking statements as a result of many factors, including general economic conditions, weather, competitive conditions, conditions in the company’s industries both in the U.S. and internationally, and additional factors that are described in the company’s publicly filed documents, including its 1934 Act filings and the prospectuses prepared in connection with the company’s offerings. Today’s call includes financial information for which the company’s independent auditors have not completed their review. Although, the company believes that the assumptions upon which the financial information and its forward-looking statements are based are reasonable, it can give no assurance that these assumptions will prove to be. On the call with me today are Mike Anderson, Chairman and Chief Executive Officer; Harold Reed, Chief Operating Officer; and John Granato, Chief Financial Officer. Mike, Hal, John and I will answer any questions you have at the end of the prepared remarks. Now, I’ll turn the floor over to Mike for an opening comment.
Michael J. Anderson: Thank you, Nick. The Rail and Ethanol Groups both had record second quarter results and the Plant Nutrient Group had strong results. Rail Group continues to optimize its railcar portfolio and is benefiting from increasing lease rates. Margins in the ethanol market improved significantly in the second quarter and the Ethanol Group is continuing to see the beneficial results from its coal products. The Plant Nutrient Group second quarter performance was solid as volume increased due to the recapture of the majority of the volume loss during the first quarter. During the second quarter, a number of growth initiatives were pursued by the Rail Group; first, there were two railcar repair facilities opened in Romulus, New York and Henderson, Nevada. Additionally the Maumee, Ohio paint facility opened during the quarter. The new facility includes the state-of-the-art blast booth, a paint booth, a drawing booth and a cleaning area. This is expected to increase the put through capabilities of the location more than three times, which will allow the team to meet customer demand for existing and additional value-added service. Finally, two days ago, the group announced and has entered into an agreement to acquire Mile Rail, LLC, a rail repair and cleaning provider headquartered in Kansas City, Missouri, with three satellite locations in Nebraska, Kansas and Indiana, and mobile units in the Central Midwest. This acquisition will raise the number of railcar repair locations the company has to 20 plus the mobile units. Last week, the company and Lansing Trade Group finalized the acquisition of Thompsons Limited, a grain and food-grade bean handler and agronomy input provider, headquartered in Blenheim, Ontario. Thompsons owns and operates 12 elevators, 11 retail farm centers, two seed processing plants, five bean processing location plants and a wheat processing plant. This acquisition provides additional geographic and climate diversification for the company and also provides an added presence in the edible bean market. The business will continue to operate at Thompsons Limited. I will now turn this over to John, who will provide details of the total company results.
John J. Granato: Thanks, Mike, and good morning everyone. The company generated net income of $29.5 million in the second quarter, or $1.57 per diluted share, and revenues of $1.6 billion. In 2012, similar net income of $29.2 million was reported or $1.56 per diluted share and revenues of $1.3 billion. The gross profit for the quarter was comparable year-over-year at a $103.2 million and a $102.7 million for 2013 and 2012 respectively. Gross profit by group however was not similar as gross profit increased primarily in the Ethanol and Rail Groups and decreased most notably in the Grain and Plant Nutrient Groups. For the first six months, total net income stands at $42.1 million or $2.24 per diluted share. In 2012, first half net income was $47.6 million or $2.54 per diluted share. Total revenues of $2.8 billion for the first half of the year are $386 million higher than the prior year. The most significant year-to-year increase in revenues relates to our grain business, whose revenues have increased primarily due to higher grain prices and greater sales volume. The higher volume has resulted from growth, which includes the Anselmo train loading facility that opened in August of 2012, and the Green Plains Grain acquisitions completed at the end of last year. Through June, gross profit was $182.5 million, which is a $6 million decrease from the same period of the prior year. The same factors that influenced the quarter’s gross profit results also influenced the year-to-date results. Now to non-GAAP measure, EBITDA, earnings before interest, taxes, depreciation and amortization. The Company’s 2013 second quarter EBITDA was $65.3 million, an increase from the $63.9 million reported for the same three months period of 2012. Through June, the Company’s EBITDA totaled $108.1 million, which is comparable to the $108.4 million from the same period of 2012. Equity and earnings of affiliates, which excludes net income from non-controlling interest was up $4.9 million and totaled $10 million in the second quarter. The positive year-over-year change was driven by a favorable increase in earnings from our ethanol LLC investments that was partially offset by decreased investment income from Lansing Trade Group. Equity and earnings of affiliates through June totaled $17.8 million, compared to $9.4 million for the first six months of 2012. This year-to-year change was again primarily impacted by improved ethanol LLC results. The Company’s interest expense totaled $4.9 million in the second quarter, a decrease of $525,000 from last year. Decreased interest expense was primarily a result of lower short-term borrowing. Through June, the Company’s interest expense totaled $11.3 million, up $549,000 from last year. Year-to-date interest expense has risen year-over-year due primarily to increase long-term debt associated with our growth. For the second quarter of 2013, the Company’s effective tax rate was 36.3% and 1.6% from the second quarter 2012 tax rate of 37.9%. The decrease in the effective tax rate was due primarily to income attributable to the non-controlling interests. The bridge in this next graph demonstrates which prove 2013 second quarter income is up or down in comparison to the prior year. The specific design behind these differences will be detailed in each group’s operating performances discussed. Therefore to better understand, the total company results, Hal will walk you through each of this six business groups.
Harold M. Reed: Thanks John. Let’s start with the Plant Nutrient Group, which had operating income of $23.2 million and revenues of $330 million this quarter. In the same three-month period of 2012, the Group reported a $28 million operating profit on $309 million of revenue. Volume increased in the second quarter as we regained most of the first quarter’s volume shortage caused by the late start of field work. Margins were down this quarter in comparison to the prior year, but when compared to historical margins were still solid. This year the Plant Nutrient Group had operating income of $22.7 million through the first six months on $442 million of revenue. Last year, the Group generated operating income of $33.8 million on $484 million of revenue. Through June, volume is down slightly, as not volume lost in the first quarter was regained. The volume decline was seen primarily in the Wisconsin and Minnesota areas, as those areas received heavy rains in May and June that didn’t allow field work to be completed. Year-to-date margins did not benefit from nutrient price appreciation, as they did in the prior year. But margins were impacted by a favorable product mix that included more value added manufactured products. The Group has continued to proactively manage its nitrogen, phosphate, and potassium ownership positions as pricing has begun to reset. Storage capacity of the Plant Nutrient Group increased to 867,000 tons from 833,000 tons in the same quarter of 2012, due to the acquisition and expansion of both dry and liquid storage facilities. Now let’s discuss the Ethanol Group, which achieved record operating income of $10.6 million this quarter. In comparison, the Group had an operating loss of $2.1 million during the same period last year. The higher income is the result of significantly increased earnings in the ethanol limited liability companies and the Group having a four quarter of income from its Denison, Iowa production facility as that acquisition occurred in May of 2012. The LLCs and Denison were positively impacted by higher ethanol margins, which have improved steadily as supplies of Ethanol have declined. Revenue this quarter was $222 million, up from the $168 million for the same period last year. Through June, the Ethanol Group has reported operating income of $13.1 million on revenues of $422 million. In 2012, the Group incurred an operating loss of $2 million during the same period on revenues of $318 million. This year, the ethanol locations have benefited from favorable margins, which was not the case last year. The revenue increase was due to added volume from the Denison plant and an increase in the average price per gallon of ethanol. The sale of co-products such as corn-oil, E-85, distillers dried grains, and CO2 remained in focus of the group. All four ethanol plants sell corn-oil, E-85, and distillers dried grains and two of the four sell CO2. Investments made in the production of coal products continue to positively impact the margins seen by the company. Additionally, all four of the ethanol plants are operating very efficiently as they continue to set new production records for both ethanol and corn-oil. Approximately 10% of the industry’s ethanol capacity remained shutdown, contributing to the supply-demand situation that has allowed ethanol stocks to decline. With improved margins in the large new crop corn supply, we see most of those plants returning to production in the future. A large corn supply does not assure strong ethanol margins. In fact, there could be margin pressure later in 2013, if the ethanol production ramps up. E-85 demand is growing and our plants are positioned well to capitalize on this. However, it is not growing at a pace necessary to outpace ethanol production capacity. Therefore the group continues to focus on operational efficiency, co-product production, cost control, and improvements in marketing, risk and technology to maintain their competitive position. The Rail Group reported record operating income of $9.7 million this quarter on revenues of $39 million. Last year, the group reported $7.2 million of income on revenues of $32 million. Gross profit from the leasing business was significantly higher due primarily to an increase in the average lease rate, which has risen in each of the last nine quarters. This quarter, the group recognized $4.4 million in pretax gains on sales of railcars and related leases and nonrecourse transactions, whereas last year $2.4 million was recognized. Through the first six months, the Rail Group had record operating income of $24.3 million and revenues of $85 million. In the same period of 2012 operating income amounted to $15.2 million and revenues were $68 million. These results included gains on sales of railcars and related leases and nonrecourse transactions of $13.7 million in 2013, which compares to $8.7 million for similar transactions for the same six month period in 2012. The average utilization rate for the quarter was 85.7%, which was up from the 84.7% experienced a year ago. The utilization rate as of the end of June increased to 86.1%. As of the end of the quarter, the group has 23,245 railcars and locomotives, which is up from the year-earlier total. The Grain Group earned operating income of $2.1 million this quarter versus $15.3 million a year ago. The Group had considerably lower space income this quarter as market carry and ownership was lower as a result of the 2012 drought. The Grain Group however benefited from good second quarter earnings from its investment in Lansing Trade Group. Grain Group revenues for the quarter were $891 million which was up from the $719 million reported in the prior year. This revenue increase is due primarily to greater sales volume as the increase in the average price for bushel was very modest. The Grain Group’s operating income through the first six months of 2013 was $10.4 million on revenues of $1.7 billion. Comparatively, the group’s first half operating income in 2012 was $34.7 million on revenues of $1.4 billion. The year-to-date results are influenced by the same factors as the second quarter. Storage capacity of the Grain Group increased to 141 million bushels this quarter from 109 million bushels in the same quarter of the prior year due to growth. The Anselmo train loading facility was opened in August of 2012 and the Green Plains Grain Company was added at the end of 2012. Last quarter we mentioned that corn planting progress in our region and the U.S. was well behind both the prior year and the five-year average, but that there was still ample time to get the crop in. [Relative to crop cutting] in record numbers and the weather has cooperated so far with a few minor exceptions and it now appears likely we will have a record corn crop. Corn yield estimates are currently in the range of 158 bushels per acre to 162 bushels per acre and it’s estimated that 95 million acres to 97 million acres have been planted. As of Monday, crop condition report show that 64% of the corn crop was good to excellent. At the same time last year that rating was only 23%. Soybean acreage comparable to 2012 was planted this year, but yield expectations are notably better than 2012 due to the improved weather. As of Monday, crop condition reports show that 64% of the soybean crop is good or excellent. At the same time last year that rating was 29%. The Turf & Specialty Group earned operating income of $2.2 million this quarter on revenue of $43 million. Last year the group reported $2.8 million of income on $44 million of revenue. Turf products tonnage was down this quarter. Margins, we are trying to increase slightly due to product mix. The car business this quarter had higher expenses than usual as it continues to invest in operational and safety improvements at the Mt. Pulaski facility which was acquired last year. Through the first half of 2013 the Group’s operating income was $6.2 million on $90 million of revenue. This compares the operating income of $5 million on revenue of $89 million last year. The Retail Group’s operating income was $1.5 million in the second quarter, compared to $1.4 million reported last year. Total revenues of $41 million for the quarter were approximately 7% lower than the $44 million reported for the same period of 2012. The revenue decline is due to the closing of the Woodville Store as same-store sales have actually increased approximately 1.5%. The Group’s year-to-date operating loss is $1.6 million on revenues of $72 million, through the first six months of 2012 the operating loss was $1.3 million and revenues were $75 million. Now I’ll turn the floor back to Nick for the Treasurer’s report.
Nicholas C. Conrad: Thanks Hal. At the end of the second quarter net working capital was $308.9 million, an increase of $52.6 million from the 2012 second quarter. Current assets totaled $907.3 million from June 30, a decrease of $103.8 million from the same period last year. This change was driven by $152.6 million decrease in inventories, which was primarily a result of lower grade of inventories at the end of the second quarter. Cash and cash equivalents end of the second quarter at $75.9 million, an increase of $52 million year-over-year. Total assets at June 30 were $1.8 billion, an increase of $26.2 million year-over-year. Other assets added $34.6 million and property, plant and equipment increased $105.4 million, compared to the second quarter of last year. These positive changes were the result of business growth through acquisitions and expansions along with favorable changes in the investment in the ethanol LLCs. Net cash used for investing activities totaled $25.9 million to the end of June, a decrease to $146.5 million versus the 2012 second quarter. The major components of this change were cash used for acquisitions decreasing by $89.8 million, net cash from purchase and sale of railcars decreasing by $57.3 million. Current liabilities at the end of the second quarter were $598.3 million, a decrease of $156.3 million from the prior year. Borrowings under the Company's short-term line of credit decreased $259.6 million in the same period last year ending the second quarter at $50 million. The average long-term rate for the 2013 second quarter was 4.4%, which is down from last year's rate of 4.9%. Long-term debt ended the second quarter at $409 million, an increase of $91.4 million from the prior years’ second quarter. Long-term debt to equity ratio was 0.63 to 1 on June 30. Total equity as of June 30 was $653.9 million, an increase of $64.7 million in June of 2012. On July 22 the Company paid a cash dividend of $0.16 per share to shareholders of record on July 1, 2013. Total committed lines of credit under the company’s syndicated facility remained $850 million, $735 million of which are short-term and $150 million of which are long-term. Current and future capital needs are continually monitored and at this time the existing lines of credit are felt to be adequate. Mike will now make a few comments before we take questions.
Michael J. Anderson: Thanks Nick. Today I’d like to provide an outlook for the second half 2013. First, we continue to feel that space income in the Grain Group will be down this year due to the 2012 drought with the majority of this impact being seen in the third quarter. Adversely, we expect the Grain Group to have a strong fourth quarter as we are currently anticipating a record corn crop. Further, we expect Lansing Trade Group results to remain strong in the second half. We are pleased with the significant improvement in the Ethanol Group and are feeling good about the margins been seen so far in the third quarter. However, the ethanol market continues to be very volatile making future margins difficult to predict. We expect the last six months of the Plant Nutrient Group to be comparable to the prior year. We are likely aware of the recent events in the potash markets and we are pleased to report that the Plant Nutrient Group has close to a zero position in potash, therefore faces no exposure to any lower-of-cost-or-market issues as the potash market resets. We anticipate our Rail Group having a very good second half, albeit not as strong as the first half. As we have said previously, a difficult year for us is where the second and fourth quarters are stronger for the company and the first and third quarters are softer. We expect that trend to continue in 2013. That concludes our prepared remarks. Hal, John, Nick, and I will now be happy to answer any questions you may have. So, Erica, we’ll turn it back to you.
Operator: (Operator Instructions) And your first question comes from the line of Brett Hundley with BB&T Capital Markets. Please proceed.
Brett M. Hundley – BB&T Capital Markets: Can you hear me?
Michael J. Anderson: Hi, Brett.
Nicholas C. Conrad: Okay.
Harold M. Reed: Hello.
Brett M. Hundley – BB&T Capital Markets: Hello, hey good morning. Mike, Hal, Nick, you are getting better and better at your forward commentary that was good commentary regarding your second half, so thank you for that.
Michael J. Anderson: Thank you.
Brett M. Hundley – BB&T Capital Markets: I just, Hal, I want to try on this on, will you give us what percentage of Plant Nutrient volumes did not get recaptured during the quarter?
Harold M. Reed: Yes, I can give you a range, it’s the single digit. It’s probably close to the 5% range. It’s not a big number. I think okay, maybe it’s closer to 4, but that’s the range.
Brett M. Hundley – BB&T Capital Markets: Okay, and would you care to give an estimate of acres that maybe didn’t complete field work?
Harold M. Reed: Nation wide are you asking, I mean we still look at 95 million to 97 million acres of corn plant and 77 million acres of beans planted which is – if that’s in a pretty narrow range which everybody is in pretty much agreement with right now, I think.
Brett M. Hundley – BB&T Capital Markets: Okay, that’s fair. That’s fair.
Harold M. Reed: Okay.
Brett M. Hundley – BB&T Capital Markets: So staying on your grain business, carry has been improving weekly as we look out through 2014. You’ve grown your asset base in recent years, which you talked about that should help earnings in a more normalized environment. And so, I’m wondering if you would give some commentary on the type of situation or situations that would present ideal earnings conditions for Grain in 2014 versus what might just be average.
Harold M. Reed: Sure. I’ll do my best to give you a picture of that. Obviously with our assets one of the best things that can happen to us is that the harvest comes off at a very heavy pace and very consistent upfront and the larger the crop, the bigger the push for harvest. That will tend to suit us quite well. We like that and that also tends to force spaces a little bit lower harvest time and so the wider the spreads go the more pressure on basis right at the immediacy of harvest. Those are both great opportunities for us.
Brett M. Hundley – BB&T Capital Markets: Okay. And staying with maybe a look more further out and just the back half, when you look into rail and trying to think about how rail evolves into next year, you had tank car demand and some portfolio rotation by The Andersons that has helped rail earnings this year. Rail car sales have also helped, but visibility is somewhat limited into this going forward and so given the expectation of maybe demand improving for hopper cars in 2014 with maybe a possible roll off of tankers. How do you think investors should think about rail earnings into next year versus what’s the current in this year?
Harold M. Reed: Yeah, I think your characterization of some rates going up versus some rates going down is quite accurate. As we mentioned, we’ve seen nine quarters of increasing average rates. The economy continues to grow. I think we’ll continue to see good demand across the broad portfolio, especially in the grain side with the harvest as you mentioned. And the rail car sales and purchases and that whole marketplace is as you say, it’s tough to see much visibility into that. So it’s hard for us to project forward exactly what we will see in that regard. But you characterized the rate piece and the lease income law. And we’ve got the addition of the shops and we’ve got the addition of Mile Rail. So we are looking for a variety of things to perform well, but again the hard piece to pick this early is clearly the portfolio purchases and sales.
Nicholas C. Conrad: I’ll add just a little more on that last point. The gains on sales we’ve had come from a couple of sources. The primary one is where we actually was selling a nonrecourse situation certain accounting treatment increases the gain in the sale as a current period income. And that’s the majority of what we do, at times we will actually sell and liquidate some of the freight and that’s a little more opportunistic. Keep in mind, on the first one I talked about that although that may create a nice positive pop in a given quarter. And also it means that we are extracting the gain that could have been amortized as a positive overall number future quarters. So there is an element of although it’s not easy to see, because we are going to be opportunistic, we’re going to look at the circumstances. The fact that we would not necessarily have a gain on a sale should not – you shouldn’t necessarily draw a conclusion about income being down over time, any more than if we have a sale of typical and the ones where we had the gains. That means we won’t have the benefit of that amortization income over the life of the lease. So, it’s still very hard for you, I think to predict in that regard. But this business is real healthy, right now.
Brett M. Hundley – BB&T Capital Markets: Okay, thank you for that. I just have two quick other ones. Hal, given some of your comments, do you think it’s possible for the grain business to see a loss again in Q3 excluding Lansing?
Harold M. Reed: In Q3 specifically, yes.
Brett M. Hundley – BB&T Capital Markets: Okay. And then just lastly regarding Thompsons, how that’s accounted for in the P&L, is that an equity line?
Harold M. Reed: Yes, it’s an equity line.
Brett M. Hundley – BB&T Capital Markets: Thank you very much guys.
Harold M. Reed: Yeah.
Operator: Your next question comes from the line of Christine Healy with Scotia Bank. Please proceed.
Christine Healy – Scotia Capital Markets: Hi guys.
Harold M. Reed: Hi Christine.
Michael J. Anderson: Hi.
Christine Healy – Scotia Capital Markets: All right, just a couple of questions for you. I guess first on ethanol, have you guys been able to lock in merchants for any second half volumes that you did for Q2?
Michael J. Anderson: The ethanol market has all been done in the spot sense, so deferred margins have not been profitable and up for us to lock in, so.
Christine Healy – Scotia Capital Markets: Okay. And can you give us your view on the EPA potentially changing the mandate for next year and what impact that could have on you guys?
Michael J. Anderson: Yeah, well, if you are talking about the recent minor modifications, those don’t have much impact to us next year. The major thing they did recently was to reduce the cellulosic which couldn’t have been made anyway, there is just not enough cellulose to go around. So that’s what they did do and they basically reinforced all along what’s in place with minor tweaks. So we don’t see them making any other major changes for 2014, so I think it’s much more of a supply and demand driven market than it is anything that will come out of the EPA.
Christine Healy – Scotia Capital Markets: Okay. And then on Thompsons; just wondering is there much integration involved with that acquisition or is it pretty much business usual and did you retain all the employees including senior management?
Michael J. Anderson: We are continuing to operate them as Thompsons and we are continuing to operate that business as we took it on, there is not substantial amount of integration other than that the senior levels of our involvement with Lansing Trade Group ourselves and the leadership at Thompsons. So we do think that from a market integration perspective there is quite a bit of opportunity both in the grain and fertilizer business as well as the new bean business, across all three companies in many places. So we look for lot of opportunity there but there isn’t direct integration at this time.
Christine Healy – Scotia Capital Markets: Okay, so it sounds like all the employees retain except the leadership team.
Michael J. Anderson: Most of the leadership, virtually all the leadership team was in fact retained, and that was an important part of the acquisition. There is a significant talent there.
Harold M. Reed: Yep, yeah we’re very pleased with that.
Christine Healy – Scotia Capital Markets: All right, they are really well known here in Canada. And then just last question for you just on the Rail Group, can you give us a sense for the sales mix before Mile Rail, was waiting rail car repair house not that you’re well built. Is that a big component of your sales right now, before that acquisition?
Michael J. Anderson: No we don’t haven’t – it evolves the percentage of railcar. Clearly the railcar repair facilities are the minority of the business that the majority of the business we described. What piece was the sales piece and we described that the lease rate, so you can tell from those numbers that the repair is the minority fees that remains, but we have been growing it steadily for the last few years and really like that business based upon our fleet and the way we see the U.S. rail car fleet. So it has been increasing fairly steadily.
Christine Healy – Scotia Capital Markets: Okay great. Thanks guys.
Michael J. Anderson: Thank you.
Operator: Your next question comes from the line of Ken Zaslow with BMO Capital Markets. Please proceed.
Kenneth Zaslow – BMO Capital Markets: Hey good morning everyone.
Michael J. Anderson: Hey Ken
Kenneth Zaslow – BMO Capital Markets: Can you help us out how much do you suspect that your grain business or the inverse of the corn actually cost you 2013?
Michael J. Anderson: Right, it’s hard to tell, because, you lose the carry of that, but, so you earn no carry for probably the last four to five months and normally you could have earned $0.03 or $0.04 in one carry on inventory to add it, it’s a hard thing to suggest, but you just marketed completely different that’s the thing. So you pushed sales up a little further before the inverse, it’s probably pretty difficult. The small crop obviously which created the lack of carry, obviously you can look at the year-to-year results over the last couple of years and see it was pretty expensive to us.
Kenneth Zaslow – BMO Capital Markets: Okay. I guess, I’m trying to get, you didn’t talk that much about 2014, I know it’s early but it seems like 2014
Michael J. Anderson: Yeah, right.
Kenneth Zaslow – BMO Capital Markets: …2014 to be, I know the range is up to $0.50 for bushel, but it seems like it should be at least at the higher end of that, is that not a fair way of think about it?
Michael J. Anderson: Yeah, well excluding the big week years, yeah, we would expect this coming crop year to be at the higher end of that range, yes.
Kenneth Zaslow – BMO Capital Markets: Okay, and then in terms of the late harvest, is that really a meaningful impact or is it just a month timing that kind of different, does that change any of the carry’s in the market or anything material on basis that we should be thinking about?
Michael J. Anderson: There are and will be some minor impacts much of the impact on the inverse has already been taken into account people have figured out what they are going to do with their August and September supply demand needs and that’s mostly figured out. The late harvest actually is not as late as it began. We have clearly caught up in some places, so we don’t expect it to be quite as late as we may have when we saw the crop planted in May. But, yeah, it has minor impacts more of the timing of when the crop comes off will impact both the end users and ourselves as to what the opportunities are in the market.
Kenneth Zaslow – BMO Capital Markets: But by the time you get (inaudible) in 2014 would be unaffected, is that fair?
Michael J. Anderson: Yeah, that means in generally yes. If the crop all comes off in a normal fashion, it won’t dramatically impact the 2014 crop year.
Michael J. Anderson: I will add one element to that. As we are fiscal year-end, it is of course is 1231. But in general, if you look at the results of the grain business, and it would be the fiscal year more of that follows the grain cycle for us and where we are. It would be the first quarter of the year and the first three quarters of the following year. What we really, really struggle to predicting is how much the bases move, say in the last month of December versus the first month of January. That is year in, year out, really, really, really difficult. So for example with all the space we have, let’s just say versus some average that increases $0.10 more than normal in December by 12/31. It is what it is. We marked our inventories to market every single day. We benefit by that in this colander year, but in the same crop year. Take the opposite, it doesn’t quite bounce pack as much by the end of December. This calendar year is not as good. It rolls over to the next calendar year. So there can often be a material swing, calendar year to calendar year but the general perspective for this crop year is a very healthy crop year herein charge situation. Exactly what calendar year falls through the end of this year or the first months of this year? I’m still undetermined, how much of this year versus next year?
Harold M. Reed: And again, I agree with you and I think, over a period of time that becomes irrelevant. You know, year end it’s just a marketing time.
Kenneth Zaslow – BMO Capital Markets: That’s exactly right. That was much a much shorter way for same what I should have said, thank you. And, my last question is assuming that the EPA does a waiver on the advanced biofuel side for 2014, it seems like that’s where they are moving towards. Have you think of your ethanol margin structure from that, how are you thinking about that implication for you guys, is that basically exactly what do you’d want to hear. And how does that change, are you thinking about the ethanol margins?
Harold M. Reed: Their decision on the advanced biofuel piece, I don’t think will have a dramatic impact on the overall ethanol marketplace not nearly as much as the supply and demand conditions and just the absolute cost of converse of the cost of gasoline. So, we’ve been pretty clear throughout we like the ability to be free market orient as we can on the use of ethanol, and it’s value to the gasoline in the motor fuels marketplaces all, we’re going to be in for a little bit of a bigger supply to start this year off, and we’ll see how that goes, but we’re looking for to some pretty good pricing on ethanol relative to gasoline which should really help demand and help consumer quite a bit and if the pricing mechanism works the way it should.
Unidentified Analyst: Great, I appreciate it. Thank you, guys.
Operator: Your next question comes from the line of Brent Rystrom with Feltl & Co. Please proceed.
Brent R. Rystrom – Feltl & Co.: Thank you, just a couple of quick questions. Could you guys give kind of a sense of how you’re thinking about 2014 maybe by the major growth…
Harold M. Reed: Can you say (inaudible) barely hear you.
Brent R. Rystrom – Feltl and Company: Sure, I am wondering if you’re viewing 2014. I’ m thinking by group that it should be a favorable year for Green. It should be a flat favorable for year for rail. The Plant Nutrient Group could possibly, you may could have given all the pricing pressure that’s been in there. And then ethanol will be mixed from the sense of good operations but may be headwinds from the regulatory perspective, any thoughts on that?
Michael J. Anderson: I think most of the characterizations are close. I think maybe your characterization on the Plant Nutrient side may be a little bit softer than what I would have said. But I think in general you have the arrows pointed, I just think that there is still plenty of opportunity. We’ve got some prices resetting on the lower side on the Plant Nutrient side, which although corn prices are lower with lower nutrient prices. There should be an offset to keep that demand relatively good. We’ve made some expansions and we’ve got some other specialty products that better margin. So I think I’d be a little bit more positive on the nutrient side, but in general comments were fairly close.
Brent R. Rystrom – Feltl & Co.: Okay. And then from a simplistic perspective, I know in the past you guys have had some opportunistic margin, when the corn comes in with a high moisture content. It is looking more likely I think that we’re going to have an early frost in the western corn-belt and I am wondering, if that were to occur that you have similar capabilities in the western corn-belt to drive like you did in the east a couple of years ago and capture that margin?
Michael J. Anderson: Yeah, it’s a good question, I won’t predict the weather, but I can’t tell you that both corn and soybean moistures or the early crops have some positive impact (inaudible) and we’ve done this many years in the past. So we do as you say look for those opportunities to take advantages of those pieces of it. And now with more locations in the western corn-belt and our southern locations in Tennessee which get a little bit earlier crop, I think we feel like those opportunities could be there this year, and we’re looking for those in both corn and in soybeans.
Brent R. Rystrom – Feltl & Co.: All right thank you very much guys.
Michael J. Anderson: Thank you.
Operator: The next question comes from the line of Farha Aslam with Stephens, Inc. Please proceed.
Farha Aslam – Stephens, Inc.: Hi, good morning.
Michael J. Anderson: Good morning.
Nicholas C. Conrad: Good morning
Farha Aslam – Stephens, Inc.: Two first housekeeping questions. The first one is, in the quarter your other income had a significant swing. Could you just share with us what causes swing in other?
John J. Granato: Farha, this is John. That’s related primarily to Lansing, in Ethanol, primarily Denison.
Michael J. Anderson: Yeah.
John J. Granato: It’s the reporting of the LLCs and the way we own the ethanol plants and such. So it is primarily related to the ethanol business and the higher income from our LLCs et cetera in ethanol. So…
Farha Aslam – Stephens, Inc.: Okay. And then your rate has been quite different quarter-to-quarter. If you had to think of the year where that tax rate would be?
John J. Granato: The full year tax rate is I think going to be slightly up from last year. Don’t know that we’ve given a specific number, but I think probably it’s going to be up a little.
Farha Aslam – Stephens, Inc.: Okay. And then on to the business and particularly as it relates to grain, the wheat harvest came out and you usually have significant income in wheat. Wouldn’t that help your September results? And so, I would have thought that your June quarter could have been your tough quarter for grain, but it sounds like September is going to be the tough quarter. Can you just share with us some color regarding corn, wheat, soy, grain handling opportunities?
Michael J. Anderson: Yeah. Allow me to just a quick. Both the second quarter and third quarter are tough. I mean, both of those – numbers for our grain operation for both those quarters are not what we would like to see in difficult times. One thing about the second quarter is as you move into inverse you do sell, tend to sell more grain before that inverse occurs. So there are margins that occur when you sell them and then there is very little we’ll have to carry. So the second quarter may have had a few more sales in it than normal and the inventory that we carry in the third quarter last, you’re right. The wheat crop was good. We have regained a little bit of carry in the wheat crop, but again that’s – most of the wheat doesn’t get into our facility till late in July. So July itself didn’t really provide much as a way of carry in the wheat market and compared to the size of the corn harvest the wheat harvest is a fraction of it. So both quarters are tough. A lot of it has to do with carry and hopefully like we say we start to see us come out of that. At the end of the quarters we start to bring the southern harvest to [corn in].
Farha Aslam – Stephens, Inc.: Okay. And then, if we go on to rail, what portion of your fleet is tank cars? And tank car lease rates have clearly declined. Do you anticipate your rail earnings in the second half of 2013 to be comparable to your fiscal second half 2012?
Michael J. Anderson: I don’t think we’ve specified the exact percentage on the rail car fleet. We could probably take a look at that and give you the tank car piece. I think in a total perspective – second half of 2013 versus 2012, is that what you’re asking for?
Farha Aslam – Stephens, Inc.: Yeah.
Michael J. Anderson: Yeah. From a lease side of the business we expect it to be comparable to slightly better and we would say the same thing from the repair facilities piece of the business. The question as we pose it was what’s the variability of the transactional side, the recourse transactions that we delineate each period and we’ve been notably higher in the first half of the year and it’s just hard to predict whether we’ll see, what kind of volume we’ll see in the second half of the year. So that’s the variable piece. I think we mentioned that we see fairly comparable at this point in time in a total sense to the prior year.
Farha Aslam – Stephens, Inc.: Okay. And then, if you look at ethanol and back to potential bpa changes, will you anticipate for 2014 this one requirement to stay at sort of this [14.4%] step up or do you anticipate them to possibly moderate that to just to go to a 10% plan, just what we were hearing yesterday?
Harold M. Reed: At this point in time it’s kind of hard to tell. They have shown that they do not make very many changes. So for us to sit here and suggest that they’re going to make any substantial changes is probably not supported by their past history, but, so I don’t look for a whole lot of changes.
Farha Aslam – Stephens, Inc.: Okay. And then, you comment on the spread between corn and oil and particularly that makes ethanol very attractive. Would you anticipate E15 coming into the market next year and any color you can provide in terms of the significance and the scale of E15 and timing?
Harold M. Reed: Yeah. E15 will continue to come in to the market in small increments, but it’s clearly not enough at this point in time, nor is E85 enough to take up the capacity that we have available. So it’s all good. When E85 gets in and when E15 gets in it’s just not enough to dramatically impact the market into next year or two.
Michael J. Anderson: This is Mike. I am going to just reinforce something else at rail to make sure that there is clarity, because he was talking at times about first half, second half, full year and we obviously had a really strong first half. If you look to the second half, if you remember last year, we have fairly sizeable gains on sales and the comment was made about comparable and that was a perspective around the second half and it’s hard to have really great visibility so far, but I will say, at this stage, if something happens tomorrow, we would expect probably on that piece of the second half not be as strongest next year. At this stage, we are feeling somewhat comparable year-over-year in total, but still moving parts.
Farha Aslam – Stephens, Inc.: Mike, thanks for that added color. That’s helpful. And then my final question is, so going forward if you are thinking E-85 and E-15 are going to be slow to be adopted by the market, do you anticipate ethanol plants having discipline and cutting production, how do you expect the supply-demand balance to play out in the market for ethanol?
Michael J. Anderson: Yeah, those are obviously a lot of factors in here. The answer to the question is supply and demand. I think the market has proven over the past few years to adjust production really quickly when the market tells it to do that. I mean there have been times in the past few years, we’ve gotten probably up to 20%, 25% and the production shutdown at specific times when margins were very poor or corn supply was unavailable. So I do think that market reacts quite well and as we said, we are focused very highly on the plant efficiency and the co-product viability and profitability to help keep us, able to sustain us in those periods of time and we already generally located pretty good profit areas. So I think the market will continue to react well, and the other side of that is supply and demand in the rest of the world. At times there is an export program on South America, at times there is imports from variety of country. So that whole piece, that whole piece will have to fit into your supply and demand equation. But I think the U.S. market works pretty efficiently.
Farha Aslam – Stephens, Inc.: Great, thank you for the added color.
Operator: We have no further questions at this time. I’ll now turn the floor back over to Mike Anderson, CEO for any closing remarks.
Michael J. Anderson: Okay, thank you all for joining us this morning. I’d also want to mention for those that are interested, there are seven appendix slides to this presentation available on the andersonsinc.com website at the Investors tab under the second quarter earnings call replay. Our next conference call is scheduled for Thursday, November 7 at 11:00 a.m. Eastern Time to review our third quarter 2013 results. We hope you’re able to join us again at that time. Until then, have a wonderful day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. Everyone may now disconnect and have a great day.